Operator: Good day, and thank you for standing by. Welcome to the Cactus, Inc. Quarter Three Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Alan Boyd, who is Director of Corporate Development and Investor Relations. Please stand by. Go ahead.
Alan Boyd: Thank you, and good morning. We appreciate you joining us on today's call. Our speakers will be Scott Bender, our Chairman and Chief Executive Officer; and Steve Tadlock, our Chief Financial Officer and CEO of FlexSteel. Also joining us today are Joel Bender, President; Steven Bender, Chief Operating Officer; and Will Marsh, our General Counsel. Please note that any comments we make on today's call regarding projections or expectations for future events are forward-looking statements covered by the Private Securities Litigation Reform Act. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. Any forward-looking statements we make today are only as of today's date, and we undertake no obligation to publicly update or review any forward-looking statements. In addition, during today's call, we will reference certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release. With that, I'll turn the call over to Scott.
Scott Bender: Thanks, Alan, and good morning to everyone. We were pleased with the company's execution in the third quarter, and encouraged by October's preliminary results despite the declines in the U.S. land rig count during the period. As expected, Pressure Control revenues decreased quarter-over-quarter, while Spoolable Technologies revenues remained relatively flat. Both segment sales outperformed the reduced activity levels, once again, reflecting our value proposition. Some third quarter total company highlights include: revenue of $288 million; adjusted EBITDA of $103 million; adjusted EBITDA margins of 35.8%; we paid a quarterly dividend of $0.12 per share; and as previously announced, we're pleased to have no bank debt after repaying the last of the $155 million of debt raised to finance the FlexSteel acquisition earlier in the quarter. I now turn the call over to Steve Tadlock, our CFO and CEO of FlexSteel, who will review our financial results. Following his remarks, I'll provide some thoughts on our outlook for the near term before opening the lines for Q&A. Steve?
Steve Tadlock: Thank you. As Scott mentioned, total Q3 revenues were $288 million. Pressure Control revenues of $182 million were down 8.4% sequentially, driven primarily by decreased customer activity. Operating income decreased $6.7 million, or 12.3% sequentially, with operating margins declining 120 basis points, primarily due to lower operating leverage. Adjusted segment EBITDA decreased $10.5 million, or 15% sequentially, with margins falling by 250 basis points due to the reduction in activity and the aforementioned operating leverage. Spoolable Technologies revenues of $105 million were down 1.2% sequentially due to product mix. Operating income increased $45.8 million, primarily due to the quarter-over-quarter change and the remeasurement of the earnout liability associated with a FlexSteel acquisition, where we recorded a $5.1 million gain in the quarter compared to an $18.1 million loss in Q2, as well as by a reduction in inventory step-up expense, which was zero in the third quarter versus $19.3 million in the second quarter. Operating income was also inclusive of $4 million of intangible amortization expense. Adjusted segment EBITDA, which excludes all of the above non-cash charges, decreased $1.8 million, or 3.9% sequentially, with margins decreasing by 110 basis points due to a transient increase in product input costs that impacted the cost of sales this quarter. On a total company basis, third quarter adjusted EBITDA was $103 million, down 11% from $115 million during the second quarter. Adjusted EBITDA margin for the quarter was 35.8% of revenues, down 190 basis points from the second quarter due to lower operating leverage. Adjustments to total company EBITDA during the third quarter of 2023 included approximately $1.1 million in transaction-related fees and expenses, non-cash charges of $4.4 million in stock-based compensation, a $5.1 million gain related to the FlexSteel earnout liability, and a $0.3 million gain due to the revaluation of the TRA liability. Depreciation and amortization expense for the third quarter was $15 million. Total depreciation and amortization expense during the fourth quarter is expected to be approximately $15 million, $7 million of which is associated with our Pressure Control segment and $8 million of which is associated with Spoolable Technologies. $4 million of the $8 million total Spoolable Technologies D&A is related to the intangibles acquired from FlexSteel. We expect this expense to remain stable for the next several quarters. Net interest expense during the third quarter was approximately $1.4 million, decreasing sequentially due to the reduced debt level. Income tax expense during the third quarter was $18 million, up from $10 million in the second quarter. Tax expense increased due to increased income from operations. During the third quarter, the public or Class A ownership of the company averaged 82% and ended the quarter at 82%. Barring further changes in our public ownership percentage, we expect an effective tax rate of approximately 21% for Q4 2023. GAAP net income was $68 million in the third quarter versus $32 million during the second quarter. The increase was driven by lower inventory step-up expense, decreased amortization of purchase price intangibles, the change in remeasurement of the earnout liability and decreased interest expense. We prefer to look at adjusted net income and earnings per share, which were $64 million and $0.80 per share, respectively, during the third quarter versus $67 million and $0.84 per share in the second quarter. Adjusted net income for the third quarter applied a 26% tax rate to our adjusted pre-tax income generated during the quarter. We estimate that the tax rate for adjusted EPS will be 26% during the fourth quarter of 2023. During the third quarter, we paid a quarterly dividend of $0.12 per share, resulting in a cash outflow of approximately $10 million, including related distributions to members. The Board has approved a quarterly dividend of $0.12 per share to be paid in December. Additionally, we made cash TRA payments and associated distributions of approximately $32.7 million related to 2022 tax savings provided by the TRA. As previously announced, we also paid down the remaining $55 million of bank debt in the third quarter. We ended the quarter with a cash balance of $64 million. Net CapEx was approximately $8 million during the third quarter of 2023. Our full-year 2023 CapEx outlook is now in the range of $35 million to $40 million, at the low-end of our prior guidance. That covers the financial review, and I'll now turn the call over to Scott.
Scott Bender: Thanks, Steve. Pardon me. I'll now touch on our expectations for the fourth quarter by reporting segment. During the fourth quarter, we expect Pressure Control revenue to be down low-single digits sequentially due to the anticipated decline in the average industry rig count quarter-over-quarter despite projected gains in Cactus rigs followed from today through the end of the year. We also expect U.S. land drilling activity will be up approximately 5% from today's levels in Q1 of 2024. For reference, our October total revenues were up over 10% from September, though our Q4 guide incorporates holiday seasonality. In addition, we expect our rental revenues to remain stable in Q4 from Q3 levels, despite forecasted declines in industry completion activity. Adjusted EBITDA margins in our Pressure Control segment are expected to be 30% to 32% for the quarter, inclusive of Pressure Control SG&A and general corporate expenses. This adjusted EBITDA guidance excludes approximately $4 million of stock-based compensation expense within the segment as well as transaction-related expenses. Margins are expected to be approximately flat to down sequentially on modestly lower operating leverage. As mentioned last quarter, we've implemented supply chain initiatives in response to reduced year-to-date activity levels, which should positively impact inventory costs early next year. In the first half of next year, we also plan to introduce several new product enhancements, which should serve to generate additional benefits for our customers as well as support our operating results. Our testing for a potential Mid-East customer continues to progress on schedule. We're also actively continuing our work on ownership structures in the region and still expect customer acceptance and first orders in late 2024. We'll share more with you on these efforts in the first half of next year. Switching over to our Spoolable Technologies segment, we expect revenue of $90 million to $95 million during the fourth quarter, a decrease of approximately 10% to 15% versus the third quarter due to the year-to-date U.S. land activity decline and seasonal impacts on the business as shipments depend to a meaningful degree on our customers' installation contractors and on completion activity. We expect adjusted EBITDA margins in this segment to be approximately 38% to 40% for Q4, moderating slightly from Q3 levels on lower operating leverage. Note that this margin guidance excludes approximately a $1 million of stock-based comp in the segment. As previously announced, we're very pleased to report that our ownership of FlexSteel has progressed to the point where we're ready to transition to a new leader of this business. Steve Tadlock, currently our Executive Vice President and Chief Financial Officer, has taken over as CEO of FlexSteel. Steve brings over 10 years of experience with our company, several years of experience as a Director and Chairman of Polyflow, a spoolable pipe business sold to Baker Hughes in 2018. I'm confident Steve is the right person to lead FlexSteel in the next phase of our ownership, and would like to thank him for his outstanding contributions to Cactus as our CFO while we matured as a public company. Next week, Steve will begin to transition his CFO duties to Al Keifer while we undertake a search for a permanent CFO. Al retired in 2016 from Baker Hughes as Vice President, Controller and Chief Accounting Officer, and have supported Cactus in an advisory capacity since our IPO in 2018. This remains a very exciting time at Cactus. We're very pleased with the initial financial and operational results of the FlexSteel business and are excited to have introduced an additional, highly differentiated product to our portfolio that diversifies our revenue streams both from industry and cycle timing perspectives. Our work on adding capacity in the Mid-East is progressing on schedule. In addition, we've undertaken significant efforts to diversify our low-cost supply chain in recent months, which will reduce potential geopolitical risk to our business and further solidify our position as a low-cost manufacturer. Despite these various growth and supply chain initiatives, we expect to generate meaningful cash flow in the coming quarters to return to shareholders and to allow us to pursue attractive inorganic growth opportunities. While fourth-quarter activity levels for Cactus and FlexSteel are expected to be down, we're encouraged by indications received from customers regarding planned 2024 activity. Additionally, I'm pleased to see the recent wave of consolidation occurring among our E&P customers. Larger, well-capitalized and disciplined E&P companies benefit our industry by reducing breakeven costs with their larger manufacturing-type development programs while providing consistency in returns that attract investor capital into the energy sectors. These customers also tend to gravitate to premium equipment and service providers such as Cactus, so I'm confident we'll be the beneficiary of further consolidation over time. With that, I'll turn it back over to the operator and we may begin Q&A. Operator?
Operator: Thank you. At this time, we will conduct the question-and-answer session. [Operator Instructions] The first question comes from Scott Gruber with Citigroup. Go ahead, your line is open.
Scott Gruber: Yes, good morning.
Scott Bender: Hey, Scott. How are you?
Scott Gruber: Doing well. So, a couple of moving pieces here in Pressure Control. I know margins tend to dip in 4Q as the service activity slows, but that tends to reverse in the new year. But then you'll also see the benefit of the inventory initiatives, and now it sounds like some product enhancements. So, with a backdrop of modest rig count recovery, trying to think about the base expectation for where Pressure Control margins can go, say by 2Q, 3Q of next year, is mid-30%s type number reasonable, given the inventory initiatives and product enhancements?
Steve Tadlock: Yeah. Scott, this is Steve. We obviously don't like giving guidance ahead of time. I think that is probably not an unreasonable assumption.
Scott Bender: Yeah.
Steve Tadlock: With some recovery in activity and what we're doing on the other side of things, the cost side of things with Joel's efforts, and that's reasonable.
Scott Gruber: Got you. And then, I know the earnout liability for FlexSteel moved around some with the activity outlook. Just where does that stand today? And that's paid one year post-close, correct? So that's a 1Q payment, is that all right?
Steve Tadlock: That's paid in 3Q of '24. And so, it's going to keep moving around. Unfortunately, that's just accounting. We have to revalue it every quarter. Right now, it's at $18.9 million.
Scott Gruber: Okay. Got it. I'll turn it over. Thank you.
Scott Bender: Thanks, Scott.
Operator: Thank you. Stand by for the next question, please. Thank you for holding on. The next question comes from David Anderson with Barclays. Go ahead, your line is now open.
Scott Bender: Hey, David. How are you?
David Anderson: I'm doing well. How are you?
Scott Bender: I'm fine. Thanks.
David Anderson: So, just kind of a near-term question and a little bit of a longer-term question. Just on the near-term question, it feels like we've seen a bit of a change in behavior over the last couple of months from customers, [indiscernible] kind of step they've had. I was just wondering kind of what you're seeing there kind of on the margin...
Scott Bender: Wait, David, hold on. A change in behavior from what?
David Anderson: Well, just from your customers. From your customers, from the E&P, just in general. We've seen -- like the fourth quarter slowdown, we've seen a little bit. The seasonality is a little bit more pronounced. I'm just curious if you've seen anything kind of on the margin. Is it the privates that are kind of pulling back a little bit? Is it your bigger customers? We're talking about budget exhaustion. I'm just kind of curious what's happening on the margin. If there's been any changes you've seen?
Scott Bender: Yeah, I would say the privates are pulling back.
David Anderson: Okay. So, just -- that's just kind of the near-term thing there.
Scott Bender: Yeah. I think we're all pretty encouraged by our larger customers in terms of what they tell us now in terms of their plans.
David Anderson: Okay. So, if we look into kind of '24 and beyond, one of the things we hear quite a bit from the E&P is the push for more efficiencies, whether or not that's through longer laterals or more subsurface analysis. So, shale is kind of moving this manufacturing mode. And I was wondering how this changes on your business mix. Effectively, your business is driven by the well count, spread across wellhead, pressure control and on the production side. I'm just wondering how your revenue opportunity kind of evolves in a mature shale. Like, the mix is going to shift a little bit. So, I'm just wondering how that changes the revenue opportunity at all. And I also noticed that those two businesses are probably where you have the most market share opportunity. Could you just kind of talk about how you see that mix potentially shifting in a more mature kind of manufacturing mode shale?
Scott Bender: Okay. So, not surprisingly, I may not answer your question directly, but this shift towards longer laterals is being addressed by -- this comment we made about some new products that we're introducing next year. So, we believe that in response to this tendency for longer laterals, we have a product that we're going to introduce into the first quarter, second quarter that will enhance customers' productivity in longer laterals. So the hope is, that it'll make our product even more attractive. Not much I can do about their rig efficiencies, except to support them and further develop the mode around our products. In other words, you got to play with the cards you're dealt. So...
David Anderson: But it also does fit into kind of those two markets where you have more market share opportunities, though, right? I mean, I would think particularly on the Spoolable side, as you're kind of already showing that as this kind of matures, that should be an area where you can gain share?
Scott Bender: I believe you're right.
David Anderson: Okay. Thank you.
Operator: One moment for our next question. Thank you for holding. Our next question comes from Kurt Hallead with Benchmark. Go ahead, your line is open.
Kurt Hallead: Thank you. Hey, good morning.
Scott Bender: Hey, Kurt. How are you?
Kurt Hallead: Hey, Scott. Doing well. Thanks. So, Scott, it's a risk of you not directly answering this question as well. I'll take the chance anyway. So, look, in the context of providing a teaser on product enhancements going into next year, you provided some color around an enhancement around the longer lateral. So, just wondering if you might provide maybe a couple of additional teasers on what we could be looking for, and just in a broader context on what these enhancements are going to address.
Scott Bender: Yeah. So, Kurt, I hate to answer this question, but I'm going to answer it anyway. So, the product enhancements, not surprisingly, involve both our rental business and our wellhead business. In our rental business, we expect the product enhancements to have a meaningful impact on our maintenance costs and our repair costs. So, we've finished prototyping. We've been spending, I guess, the last nine months, almost a year, prototyping a new frac valve design. And we'll be introducing that next year. And so, I'm very hopeful that you're going to see some margin impact from that. In terms of wellhead, as we actually started from a relatively clean sheet of paper, we've got a new wellhead that's going to be highly -- even more highly value engineered, if you catch my drift, as well as adding features that are, as I mentioned earlier, responsive to this tendency towards longer laterals.
Kurt Hallead: So, that's good color. I really, really appreciate that. Now...
Scott Bender: That's too much color.
Kurt Hallead: A follow-up here for Steve. And congrats on your new role, Steve.
Steve Tadlock: Thank you.
Kurt Hallead: Just kind of curious in the context of as you've entered into this new role, right, is there a significant shift in strategy direction? What do you see in terms of opportunities now that you're sitting in that seat?
Steve Tadlock: No, I wouldn't say there's a shift. I think the company was in a good direction. And I think really my job is just to keep it going in that direction and help shepherd the growth. I'm really excited about it. I think the quality of the people -- I mean, obviously, I've spent a lot of time with people over there in the last, I guess, nine months now, but spending even more time in the last month. I'm just really impressed with the people and the product and the processes that they have in place. So, it's really just infusing a little bit more of the Cactus culture and taking it from there.
Kurt Hallead: Great. Thanks a lot, guys. Appreciate it.
Operator: Please stand by for our next question. Your next question comes from Stephen Gengaro with Stifel. Go ahead, your line is open.
Stephen Gengaro: Thanks. I'm trying to think of something you won't answer.
Scott Bender: Oh, good.
Stephen Gengaro: I think first, and this might be in a category actually, but given what you mentioned about the privates maybe pulling back a little bit, I think last quarter, you referenced that on the wellhead side that your share was probably at an all-time high. Are you continuing to see kind of similar numbers on the share side?
Scott Bender: Gosh, Stephen, I thought that was going to be the very first question. And you know that we had this discussion collectively before the call, thinking we're trying to divorce ourselves from discussing market share. But let me pat you on the back and say, do not worry about market share.
Stephen Gengaro: Okay.
Scott Bender: Without me telling you what the market share is, will that satisfy you by telling you not to worry about it?
Stephen Gengaro: That works for now.
Scott Bender: In other words, don't factor a market share loss into your numbers.
Stephen Gengaro: Got you. I understand. That makes sense. The...
Scott Bender: Let me say more of that -- let me just tell you even more. I think that this tendency towards consolidation is -- I've always said it's going to be constructive. I still believe that it's going to be constructive.
Stephen Gengaro: Okay. That's helpful. That was one of the follow-ups I was going to ask about, so that's helpful. So, now you...
Scott Bender: [So, that's] (ph) your follow-up?
Stephen Gengaro: We won't count that.
Scott Bender: Okay.
Stephen Gengaro: The -- repair is the wrong word, but the movement of the balance sheet back to being positive cash, honestly, very rapidly post a large transaction with FlexSteel, you're going to probably start building cash over the next year. Can you talk about either your approach -- well, just basically, what's the approach to capital allocation from here as capital build?
Scott Bender: My first choice -- first of all, we consider the dividend to be pretty sacred to us. That's why we kind of started at a low level and it moved it up slowly. We announced a share buyback, which is still in place. My first choice is inorganic growth. I want to grow this business, and I want to grow it primarily internationally. So, to do that, we need cash. Fortunately, since I've been in this business for four-plus decades, this has always been a highly positive cash flow generating business. And it still is. So, I think we'll have plenty of currency to do what we want to do, including taking care of our shareholders on a quarterly basis.
Stephen Gengaro: Great. Thanks. Thanks for the details.
Operator: Thank you. [Operator Instructions] This time I'm showing no further questions. I'd like to now turn it back over to Scott Bender for closing remarks.
Scott Bender: Thank you all for joining us this quarter. I look forward to speaking to you next quarter. And trust me when I tell you we're working hard to provide for industry best shareholder returns. Have a good day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.